Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Newpark Resources First Quarter Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for question. This conference is being recorded today, April 25th 2014. I would now like to turn the conference over to Mr. Ken Dennard. Please go ahead, sir.
Ken Dennard: Thanks, Camille [ph] and good morning everyone. We appreciate you joining us for Newpark Resources Conference Call today, review 2014 first quarter results. I’d also like to welcome the Internet participants listening to the call over the Web. Before I turn the call over to management, I have the normal housekeeping details to run through. For those of you who did not receive an email, the earnings release yesterday afternoon and would like to be added to our distribution list, please call our Dennard Lascar offices at (713) 529-6600 and provide us your contact information or you can send me an email. We’ll get you on that list. There will be a replay of today’s call and it will be available by webcast in the company’s website which is newpark.com. There will also be a recorded replay by phone and that’s available until May 9th and the information for the dial-up is in yesterday’s release. Please note that the information reported on this call speaks only as of today, April 25th 2014 and therefore you are advised the time sensitive information may be no longer accurate as of the time of any replay listening or transcript reading. In addition, the comments made by management today of Newpark during this conference call may contain forward-looking information and forward-looking statements within the meaning of the United States federal securities laws. These forward-looking statements reflect the current views of management of Newpark. However, various risks, uncertainties and contingencies could cause Newpark’s actual results, performance or achievements to differ materially from those expressed in the statements made by management. The listener is encouraged to read the Company’s Annual Report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K to understand certain of those risks, uncertainties and contingencies. And now, with all that said, I’d like to turn the call over to Newpark’s President and CEO, Mr. Paul Howes. Paul?
Paul Howes: Thank you, Ken. Good morning to everyone. I would like to thank you for joining us today for our first quarter 2014 conference call. With me today are Bruce Smith, President of our Drilling Fluids business; and Gregg Piontek, our Chief Financial Officer. Following my remarks, Bruce will provide an update on our fluids business, and Gregg will discuss the mats business as well as the consolidated financial results for the first quarter. I will then conclude with a discussion of our market outlook before opening the call for Q&A. Now turning our attention to the first quarter. Fluid revenues were flat sequentially with the fourth quarter at $211 million with seasonal activity gains in Canada as well as improvements in the EMEA region being offset by declines in the US and Brazil. In the US, the majority of the revenue decline reflected a combined impact of the expected loss of revenues following the sale of our mid-continent completion thermoses business along with decline in profit sales. Despite the flat revenue, we saw a solid sequential improvement in our fluids margins in the first quarter. As we highlighted last quarter, if we exclude the one-time gains and the sale of the completion service business as well as the non-recurring charges in Brazil, we achieved a normalized fourth quarter operating margin of 6.5% for the worldwide fluids business. For the first quarter, we’re normalized with $600,000 of cost related to the wind down of the completion services business, the normalized margin improved a 7.7%, resulting in 120 basis point sequential improvement in our fluids margins. The sequential improvement in fluid margins are largely due to our ongoing efforts to drive a stronger sales mix which continues to benefit from market penetration of Evolution family of water-based technologies. We are extremely pleased with our progress with Evolution which reached a record $48 million in the first quarter, up 40% from our previous record set in the fourth quarter of 2013. This milestone is a result of our ongoing efforts to move customers from oil-based mud to our higher margin water-based solutions. As more customers recognize the benefits of this technology, we believe there are increasing opportunities to further grow sales of evolution on a worldwide basis. In our mats business, our rental revenues continue to be strong, achieving another quarterly record of $25 million. Demand has been robust and is leading up to allocate more of our production to the rental fleet, leading fewer mats available for sale. With the lower mat sales in the quarter, our consolidated mats segment revenues were $31 million, down $4 million from the fourth quarter. We continue to evaluate our spill containment system, completing several test sites throughout the winter season. Based on the latest rounds of test, we are making further refinements to the seal, although we still expect the system to be rolled out later this year. Total consolidated revenues from continuing operations were $243 million in the first quarter, a 2% sequential decrease. Net income in the first quarter was $0.36 per diluted share which included a $0.22 gain from the sale of the environmental service business. Adjusting for the gain, first quarter total net income was $0.14 per diluted share, in line with the fourth quarter. SG&A costs remain elevated in the first quarter largely driven by the continued development of our deepwater strategy. So our work on this plan is ongoing. One of the key results of this study will be a targeted effort to grow our share in the Gulf of Mexico which we anticipate will require significant capital investments in the region. We will update you on our progress on next quarter’s call. In the mats business, we remain on track with our $40 million expansion of the mat manufacturing facility in Louisiana with construction activities now underway. The added capacity on – the added capacity remains on schedule to come online in the first quarter 2015. And given the strong demand we’re seeing for our Durabase mats, the new facility is essential to support the continued growth of this business, both domestically and internationally. And last, with the closing of the environmental service sale last month, Newpark is well positioned to focus on growing our global drilling fluids and mats businesses. As was the case with the sale of our completion services business during the fourth quarter, this is part of a larger strategic plan to divest our non-core underperforming assets, enabling us to pursue growth opportunities. With that, let me now turn the call over to Bruce Smith who will review the performance of our fluids business. Bruce?
Bruce Smith: Thank you, Paul, and good morning everyone. In the first quarter, the fluids segment generated total revenues of $211 million which was flat for the fourth quarter and then 15% year-over-year. Looking at the first quarter by region, the revenues from the US were down 8% sequentially to $125 million which represented a 22% year-over-year decrease. Of the $11 million sequential decline in US revenues, $3 million was associated with the completion services business which we exited in December and another $3 million was driven by reduction of provence sales with the remainder attributable to the ongoing fluids business. As we discussed last quarter, South Texas region had been negatively impacted by a large independent customer with a loss [ph] on pricing. The wind down of this contract was completed in the fourth quarter. With no revenue contribution in the first quarter, this customer accounted for our $7 million sequential decline. Aside from these events, we roughly tracked the 1% sequential rise in the US rig count. As of our last call, we had expected that the first quarter declines in South Texas would be largely offset by additional deepwater in the Gulf. However, that work has been delayed into the second quarter. On a year-over-year basis, the decrease in US revenues was also driven largely by these same issues. In addition, the year-over-year comparison is negatively impacted by a second large independent customer which is currently in a period of transition. Poland lines [ph] with two big customers reduced project [ph] revenues on the sale of the completion services business accounted for almost 80% of the $34 million decrease. In Canada, we have seen a record quarter with revenues up 50% sequentially to $22 million, outpacing the rig count increase. Revenues were also up 16% from a year ago despite a relatively flat rig count. Revenues from our EMEA region rebounded nicely, up 20% sequentially to $35 million which was roughly flat in the first quarter of 2013. The sequential improvement was driven by Algeria as well as model strengthening in Romania partly offset by a decline in Tunisia. In Brazil, revenues were down 11% sequentially to $22 million which was down 12% year-over-year. Petrobras remains heavily focused on completion activity which continues to impact our revenues. Also, while the deepwater well was [indiscernible] during the quarter due to its late start, its contribution was minimal. In the Asia Pacific region, revenues were up 2% sequentially to $8 million which was down 19% year-over-year. While the offshore Sanders [ph] contract was active in Q1, it was largely offset by lower activity in New Zealand, pooling them sequential gain. On a year-over-year basis, the decline was primarily due to lower revenue from land activities in both Australia and New Zealand. The consolidated fluids segment reported operating income of $15.7 million in the first quarter, reflecting an operating margin of 7.4%, up from 7.1% in the fourth quarter and the from 9.1% a year ago. However, as Paul touched on earlier, while the fourth quarter was favorably impacted by $1.7 million of unseal items, including the gain on the completion services asset sales, the first quarter was negatively impacted by $600,000 in costs associated with the final wind down of the completion services business. Adjusting for these items, our normalized margin was 7.7% in Q1 compared with 6.5% in the fourth quarter, given that’s 120 basis point sequential improvement in margin. In addition, I’d like to highlight that our first quarter included roughly $500,000 in added expenses related to preparation for our upcoming work completing new markets – the Black Sea, Kuwait and India. The sequential margin improvement is largely driven by favorable developments, and more specifically, the ongoing migration of oil-based mud customers over to our Evolution family of water-based systems. We achieved record revenues of $48 million in the first quarter with $40 million coming from North America and $8 million internationally. We are very pleased not only with the growth but also with the improvement in the geographic and customer diversification as no single customer accounted for more than 10% of Evolution revenues in the first quarter. In terms of our current outlook, we are starting to see signs of improvement across some of our US regions as April revenues are tracking ahead of first quarter levels. In addition, we expect the Louisiana Gulf Coast region to benefit from a deepwater well that was delayed from the first quarter. We expect Canada to follow the typical seasonal decline in revenues where we usually see a drop of approximately 60% to 70% from Q1 to Q2. Internationally, the EMEA regions should continue to see modest revenue improvement in Q2, although the more meaningful increase in revenue is expected with the new contracts coming online in the second half of the year. In Brazil, we remain concerned by the challenges we are facing with Petrobras. We will continue to take a balanced approach in Brazil, exiting low margin activities and reducing our footprint while still maintaining our presence to serve the deepwater market. As part of that, we have requested Petrobras remove the pass-through solids control component from our contract. For the second quarter, we do not expect significant changes to our results in Brazil. In the Asia Pacific region, we expect revenues to be flat with Q1. While revenues from New Zealand should rebound, we expect this to be offset by lower offshore activity in Australia due to the rig entering the completion phase. Improvement in our margins remains a primary goal and we anticipate some modest improvements from the normalized Q1 margin of 7.7%. As we’ve stated previously, however, a more meaningful margin improvement will be predicated on more significant top line growth. Finally, I’d like to give you an update on the international contracts coming online this year. As mentioned earlier, we incurred approximately $500,000 of expenses in the first quarter as we ramp up our operational support for the upcoming work. We have completed construction of the fluids plant which will serve as our contract work in the Black Sea. This facility, which was expanded due to the customer’s request, is capable of handling multiple customers in the region and gives some additional foothold to expand our market share. Work in the Black Sea contract is expected to begin in Q3. We are also nearing completion of another plant which will serve as our Kuwait contract. This contract is also expected to start in Q3. And finally, we have just recently begun work in the full year Cairn Energy contract in India. So we expect to see modest contribution from this contract on the second quarter. With that, I’ll now turn the call over to our CFO, Gregg Piontek.
Gregg Piontek: Thank you, Bruce, and good morning everyone. I’ll begin by discussing the results of our mats business before finishing with our consolidated results. The mats business reported first quarter revenues of $31 million, a 10% decline sequentially but a 53% year-over-year increase. Mat rentals established a new revenue record of $25 million which was up 24% sequentially and up 66% year-over-year. Sequential gains were driven by strong demand in the US Gulf Coast and northeast region as well as an additional $1.3 million increase from Terrafirma, a recently acquired business in the UK. Total mat sales were $7 million which was down 54% sequentially and up 19% year-over-year. As we mentioned last quarter, the sequential drop in the sales was anticipated as we deployed a greater portion of our mat production to our rental fleet. The mat segment generated operating income of $13.4 million in the first quarter, down 12% from the fourth quarter but up 58% year-over-year. The strong demand on the rental side kept utilization at a high level, contributing to a 42.6% operating margin which compares to a 43.7% in the fourth quarter and 41.2% in the first quarter a year ago. Because of the strong utilization of our rental fleet in Q1 reflected near peak performance, we expect some modest decrease from these levels in Q2. Meanwhile, we are continuing to focus on expanding the rental fleet to satisfy the increase in customer demand, diverting production away from that sales opportunity. Therefore, we expect some mat sales in Q2 to decline further from Q1 levels. In addition, as we continue to add cost to support our growth initiatives, we expect to see modest declines in the operating margin, possibly dipping below the 40% level. As you’re already aware, the sale of the environmental services business was completed in March, generating total cash proceeds of $89 million, net of $8 million held in escrow and $3 million of transaction-related expenses. The business contributed $0.23 of EPS to the first quarter, including $0.22 from the gain on sale. Following the closing of this transaction, we expect to make the federal tax payment in excess of $20 million in the second quarter, resulting from the gain on sale. Now moving on to our consolidated results. For the first quarter of 2014, we reported total revenues of $243 million, a 2% sequential decrease and a 9% year-over-year decrease. Consolidated operating income was $20.8 million in the first quarter, down 7% sequentially and down 17% from the first quarter of 2013. Income from continuing operations in the first quarter was $11.7 million or $0.13 per diluted share compared to $10.5 million or $0.11 per diluted share in the fourth quarter and $14.9 million of $0.16 per diluted share a year ago. SG&A cost were $25.5 million, up 6% sequentially and up 14% year-over-year largely the result of $1.7 million of corporate office expenses associated with strategic activities, including the deepwater initiatives that Paul mentioned along with international treasury and tax planning projects. The first quarter 2014 expected tax rate – effective tax rate was 34% which is in line with our expectations for this year. Now let me discuss our balance sheet and liquidity position. During the first quarter, operating activities generated cash of $4 million. We used $19 million on capital expenditures, including $10 million spent on the mats segment as we continue to expand the mat rental fleet and began construction activities on our manufacturing facility. Since our last call in February, we completed another $20 million of repurchases under our authorization, acquiring a total of $1.8 million shares at an average price of $11.33. Pursuant to a 10b5-1 program, most of this activity was completed following the end of the first quarter, so the impact of the latest purchase on outstanding shares will largely be realized next quarter. Following this latest purchase, we have $63 million remaining under our authorization and based on our current outlook for cash needs, we anticipate that we will be able to continue repurchasing shares in 2014. Borrowings under our foreign lines of credit increased by $2.9 million and there are no borrowings under our revolving credit facilities. We entered the first quarter with cash of $130 million and total debt balance of $189 million, resulting in a total debt to capitalization ratio of 23.7% and a net debt to capitalization ratio of 8.8%. For 2014, we now expect our capital expenditures to be in the range of $65 million to $85 million which is down from the $75 million to $100 million that we’ve previously projected during the fourth quarter call, in part driven by the expected timing of cash outlays related to our Gulf of Mexico deepwater shore base infrastructure, a new water-based fluids manufacturing facility as well as our mats facility expansion. And now I’d like to turn the call back over to Paul for his concluding remarks.
Paul Howes: Thanks, Gregg. As anticipated, our first quarter revenues did not show meaningful improvements from the prior year as improvements in our mats business were offset by losses with two key accounts and the sale of the completion service business and drilling fluids. On a sequential basis, we were pleased with the drilling fluids margins, 120 basis point improvement as we make our way back to historical levels. In addition, our Evolution family of product is gaining momentum both domestically and internationally, achieving record revenues as customers continue to recognize the benefits of the technology and the impact it has on the drilling programs. Although some of the largest service companies market mud as a commodity, Newpark is breaking through traditional barriers by driving operational efficiency and reducing the cost of drilling. We’re starting to see this play out around the world from various regions from the US and Canada to Italy, Algeria, Australia and New Zealand. Also, we are pleased with the growth in our EMEA region as we are benefitting from the contract we have in North Africa. In Brazil, we’re focused on improving our performance under the Petrobras contract which could lead to reduced revenues but improved margins. We are pleased with the start of the Total deepwater contract, another example of Newpark’s expanding presence with IOCs [ph] around the world and technically challenging environments, another step towards our goal of being recognized as a global technology leader in the industry. As Bruce mentioned, April is off to a good start and aside from the Canadian seasonality, we do expect an improved performance from our fluids business and particularly in the US operations in the second quarter. Our mats business continues to run strong with customer demand increasing for the product line across multiple regions. Our rental revenues have achieved another record level with sequential and year-over-year gains of 24% and 66%. With more of our production being diverted to our rental fleet, we do expect to see lower revenues from mat sales in the second quarter. Not dissimilar to our fluids business, we continue to develop new technology in the mats business, specifically the spill containment system. The cold winter proved beneficial both in terms of driving national gas storage levels down to near record low levels but also gave us more insight into the performance of the system which has led us to modify the seals. We’re planning to formally launch the spill containment system later this year. Looking out to the remainder of the year, we expect to see continued improvement in our drilling fluids business, both domestically and internationally driven by a combination of improved market share in the US, continued market penetration of Evolution and the ramp up of our new contracts in the Black Sea, India and Kuwait during the second half of the year. In the mats business, we expect to see continued increases in rental revenues to the end of the year driven by the increasing size of our rental fleet. Now turning our attention to the balance sheet for a moment, after several previous attempts to sell the environmental business, we are pleased to have closed the sale. This transaction was important to Newpark not only because it allows more focus on our core business, but more importantly, it provides additional liquidity and flexibility to grow our company globally. To that point, we’re in the process of designing a new manufacturing facility to handle the increasing demand for our water-based fluids technology, including our Evolution family of products. Also, we’re working on our strategy to define our deepwater Gulf of Mexico investment plan. It’s our hope that we will finalize the plan later this year. With the projected increase in deepwater rigs entering the Gulf of Mexico over the next 18 to 24 months, timing is essential on this project. In summary, we continue to execute on a long term strategy of being recognized as a global technology leader in our industry. Over the last several quarters, we have made significant progress in rationalizing our portfolio, exiting non-core businesses and making strategic investments in our core fluids and mats businesses. We remain focused on bringing innovative products and services to the oil and gas industry with the ultimate goal of continually increasing shareholder value over the long term. With that, we’ll now take your questions. Operator?
Operator: Thank you, sir. Ladies and gentlemen, we’ll now begin the question-and-answer session. (Operator instructions) Our first question is from the line of Marshall Adkins with Raymond James. Please go ahead.
Marshall Adkins – Raymond James: Good morning, Paul.
Paul Howes: Good morning, Marshall.
Marshall Adkins – Raymond James: Good question on market share and fluids. So over the past decade, you guys have emerged as one of the dominant market share gainers in a market dominated by the big boys. Do you see more room for improvement in market share or are we stagnating here?
Paul Howes: Other than –
Marshall Adkins – Raymond James: I’m talking about just fluids.
Paul Howes: Right. No, I understand. With the exception of the one large account that we lost in South Texas and another large account that’s been in a kind of transitional phase, we’ll certainly see there’s opportunities to gain additional market share in the US both through some existing technology but also with our Evolution family of products. Internationally, we see a lot of opportunities to continue to take market share there as well.
Marshall Adkins – Raymond James: Okay. Follow up to that, you mentioned that we can get maybe higher margins as we go through the year in fluids, a 7.7% normalized, I believe I heard. How high do you think they can get this year?
Bruce Smith: Marshall, it’s Bruce. I think we can continue to grow the margins as we’ve done in the first quarter. But the big jump will be predicated really on the top line growth. So as we get the top line growth coming back which we fully expect to do as the year goes on, the margin will follow – that incremental margin we get will follow.
Gregg Piontek: Yes. We had talked obviously in previous quarters about that 10% mark. And that’s still not in unrealistic goal, but again, the revenue declines that we’ve seen in recent quarters really we have to get that back to the levels they were at for that 10% to be in line.
Marshall Adkins – Raymond James: Is 9% too aggressive to model as we go through the year?
Paul Howes: No, I think you can see us rolling through the fourth quarter in that 9% range that we roll out.
Gregg Piontek: Yes. The second quarter is – as we had talk about our outlook is not much change from where we were here on a normalized basis, in Q1 may be modest – just modestly higher [ph].
Marshall Adkins – Raymond James: [Indiscernible].
Gregg Piontek: But that more meaningfully – once the revenue picks up in the second half of the year, that’s where you get more meaningful pickup.
Paul Howes: X that are greater than nine, that sounds three pretty simple [ph].
Marshall Adkins – Raymond James: Perfect guys. Thank you all.
Paul Howes: Thank you, Marshall.
Operator: Our next question is from the line of Neal Dingmann with SunTrust. Please go ahead.
Neal Dingmann – SunTrust: Good morning guys. So I just trying to [indiscernible] rectify a little bit. Obviously you had just a tremendous quarter with Evolution. And I’m trying to figure out – I guess given the bump in margins that you generally see from Evolution, I guess I’m just a little surprised that you didn’t get maybe a bigger bump from the overall fluids group that – in the quarter because of how much – I think you had about 23% from Evolution this quarter versus – generally it’s been turning a bit lower than out of percentage [ph] basis. So I’m just wondering why – in your thoughts, maybe the margin didn’t bump up a bit more. Is it that both Evolution as well as the general we’ll see kind of to Marshall’s question, growth later this year or is there something kind of one time like maybe Evolution just didn’t see the margin that we should see here later this year?
Bruce Smith: This is Bruce. Obviously there’s a lot of moving parts here. But of the normalized 120 basis points, 50% of that or 60 basis points came from the increase in Evolution revenues.
Gregg Piontek: Yes. I mean, the Evolution – sequential gain in Evolution revenue is $14 million quarter-over-quarter. And we’ve talked in the past about the premium being somewhere in that 500 to 800 basis points. So you do the math there and that’s hopefully where it’s at.
Paul Howes: And then on to and [ph] we are not seeing any compression on the Evolution margins. They continue to remain as Gregg just said in that 500 to 800 basis points higher range than our traditional fluids. So no decline there.
Neal Dingmann – SunTrust: I would just ask that Paul [ph], I mean, Paul, have you seen any push that seems like this product is remarkable, you’re just not seeing any pushback, not even in the margins. But just – I think the last time you talk about international starting to see some traction; I think it was the quarter before that. Bruce talked about a client using this with a high pressure, I think it was in the rock use or [ph] whatever that might have been. Maybe if you could just comment again, are you seeing any push back anywhere from this proprietary product?
Bruce Smith: No, the – sorry, Paul.
Paul Howes: Go ahead.
Bruce Smith: No, we’re not. The products are rolling out very, very well. And as customers begin to recognize the value of it, which not only comes – not on the first time they use it but on the second and third time and fourth time they use it, they begin to recognize the real value that it is bringing. And that’s what’s really driving the growth.
Gregg Piontek: Yes. And I would say too that the – we’ve spent a lot of time in Bruce’s organization doing value added selling. And so, we continue to emphasize the total value, the technology from when you spud the well to when you complete it. And when you look at them from that perspective, it is a clear winner over oil-based muds.
Operator: Thank you. Our next question is from the line of Mike Harrison with First Analysis. Please go ahead.
Mike Harrison – First Analysis Securities: Hi, good morning.
Paul Howes: Good morning, Mike.
Mike Harrison – First Analysis Securities: Just following up a little further on Evolution, you mentioned that the international side is now toward 8 million. Can we kind of look at the trajectory of what you guys do with Evolution in North America? And assume that you’re going to follow a similar trajectory as you roll this out internationally or because of the experience that you’ve had in North America and the learning effects and maybe some additional advantages that you have internationally, maybe tighter environmental regulations, is it possible that we even see the trajectory better than what you saw in North America?
Bruce Smith: This is Bruce. Yes, I think – yes, in fact I think that’s correct. I think the international market place holds a far better opportunity for the growth of Evolution due to the reasons that you quoted. However, having said that, there are still many areas in the US market place further room for growth, and we’re very pleased with that growth also.
Gregg Piontek: Yes. I would say the one thing too just to add on the international. One point you didn’t referenced Mike was the fact that they don’t – internationally you don’t have 50 years of experience with oil-based mud either right? In some of these developing area. So getting the water based technology in there, getting it and accepted, understanding the value that is an easier stuff [ph].
Mike Harrison – First Analysis Securities: All right. And if I could just follow up on Brazil, you mentioned that Petrobras maybe or you’re working to get Petrobras out of the one portion of your contract? What would it do for your profitability if you can get out of that piece of the contract? And was the Brazil business profitable this quarter?
Bruce Smith: The Brazil business was not profitable this quarter.
Gregg Piontek: Yes. It generated a small loss, small loss.
Bruce Smith: Yes. Where we are with Brazil, we’re doing some very specific things. We are exiting the lower margin portion of the Petrobras business which only comes through the BR bidding process. So we’re exiting that. There’s a piece that’s last that we’ll [ph] complete in the second quarter, but by the end of the second quarter we’ll be out of the low margin Petrobras business. We have already closed two warehouses in Brazil. We’re working now on closing the third warehouse facility, and of course reducing staffing levels accordingly. And as you mentioned, we are working with Petrobras to remove the pass through [ph] solids control equipment from our contract and have that as a standalone contract directly with the – with Petrobras. And that will – if that succeeds, it will certainly reduce the revenue, but we’ll have a minimal impact and may erase the bottom line.
Mike Harrison – First Analysis Securities: So it sounds like you two should be significantly better, not just in Brazil with Petrobras but also with Total contribution.
Gregg Piontek: Yes. No, no. I mean, these actions that Bruce mentioned are a little bit longer term. And specifically with the pass through [ph] solids control, we don’t expect that to take place here in the second quarter. So our second quarter expectation is really not much different than Q1.
Paul Howes: Some modest improvement because of the Total contract running.
Gregg Piontek: That’s right.
Paul Howes: So that well is just started here in the second quarter. So typically we do very well margin life [ph] on the IOC work.
Operator: Thank you. Our next question is from the line of Jeff Spittel with Clarkson Capital Markets. Please go ahead.
Jeff Spittel – Clarkson Capital Markets: Thanks. Good morning guys.
Paul Howes: Good morning.
Jeff Spittel – Clarkson Capital Markets: Maybe if we could stay on evolution, can you speak a little bit with the pickup in revenues in the first quarter if it was in the US in particular, a little bit more attributable to market share gains, follow through on activity with the rig count or what precisely was going on there?
Bruce Smith: Several pieces, the Russian gains [ph] with existing customers where we expand over the existing customers. We also had some gains with the new customers that came on board. And we also had some new customers coming on board in the international piece of the business. So it was a combination of several things.
Jeff Spittel – Clarkson Capital Markets: Okay. And then Bruce, as you think about the different non-conventional basins in the US, particularly with the Permian ramping, I know we’ve touched on this in the past. But would it be fair to say that that might be the area that can be the greatest driver of growth within the US business in 2014?
Bruce Smith: Certainly, that’s correct. It’s beginning to happen now, and that’s correct.
Paul Howes: And the Permian is also our strongest basin from a Evolution perspective.
Jeff Spittel – Clarkson Capital Markets: Yes. And I guess in particular, I’m assuming the Evolution is going to enjoy some good penetration as people kick off their horizontal campaigns, is that –
Paul Howes: Yes. We’re excited about that.
Jeff Spittel – Clarkson Capital Markets: It’s great news. Thanks guys.
Paul Howes: Thank you.
Operator: Thank you. Our next question is from the line of George O’Leary with Tudor, Pickering, Holt & Company. Please go ahead.
George O’Leary – Tudor, Pickering, Holt & Company: Good morning guys.
Paul Howes: Good morning George.
Gregg Piontek: Good morning.
George O’Leary – Tudor, Pickering, Holt & Company: Talk a little bit about the competitive landscape in the US market today just kind of what you’re seeing competitors do from a pricing perspective? And then recount kind of running ahead of expectations outside of the Permian, where are some other potential growth opportunities for your fluids business on shore you guys [ph]?
Bruce Smith: Okay, I’ll take [ph] your pricing question first. We’re not seeing any real pricing pressures. It’s always competitive. But we’re not seeing any real pricing pressure. And of course the more we roll out our differentiated technology, the less dependent we become on that competitive pricing. So from that perspective, I think we’re not really suffering too badly at all.
Gregg Piontek: Yes. I mean, competitive pressure, it’s interesting we have yet to see any of the large integrated services companies come out with a water-based technology that can run with Evolution. And so, again, I think competitive pressure there, the landscape is pretty clear, and we’re pushing hard.
George O’Leary – Tudor, Pickering, Holt & Company: Great, thanks. And then just one follow for me, did you look at in the Middle East than you guys starting to ramp up later this year in Kuwait, are there any other opportunities there, I think that’s a region where people think recounted by entirely [ph] especially when you look at what Saudi is doing? So any other countries within that region where you’re tracking opportunities and we could see some growth later this year or maybe into ‘15?
Bruce Smith: I think more of ‘15 event. Certainly getting the Kuwait contract has given us that foothold into the Middle East that we – that we needed. So we will certainly use that opportunity, and from that footprint, we’ll attempt to grow throughout the region. But that’s more of ‘15 event I’d say.
Gregg Piontek: Yes. And if it is, it’s going to be at the back end of ‘15. We really want to lock down first that KLC [ph] contract, bring that home. But it’s certainly a target rich environment for us to continue to grow in.
Operator: Thank you. Our next question is from the line of Tristan Richardson with D.A. Davidson. Please go ahead.
Tristan Richardson – D.A. Davidson & Company: Good morning gentleman.
Gregg Piontek: Good morning.
Paul Howes: Good morning.
Tristan Richardson – D.A. Davidson & Company: I’m just curious on the – when you look at G&A levels and corporate overhead, as you – as you continue the – your sort of the offshore strategy study, I mean, should we expect to see similar G&A levels that we saw on Q1 as you kind of progress through ‘14?
Gregg Piontek: Yes. I wouldn’t expect to see a real significant change. You know, we’ve called out the $1.7 million of spending that we had on strategic activities here in Q1. While it may come down modestly as we’re – especially after completing the sale of the environmental services business, obviously there is a much greater focus on where do we grow from here? That obviously requires spending, not only in the area of the deep water, but also looking at other opportunities that are out there. So I think those activities will continue to drive the spending a little higher than it have been historically.
Bruce Smith: We’re consistent with it – close to existing [ph] quarter.
Tristan Richardson – D.A. Davidson & Company: Thank you. And then I guess just on the mats business, can you talk a little bit about sort of you’ve touched on this in the prepared comments about sequentially seeing margin slightly lower, just given the extremely high utilization in Q1. Could you talk a little bit about sort of how you see that trajectory in the later part of 2014 and into 2015 as you continue your construction efforts? And once the facility does come online – I mean, I was talking about sort of the implications for margins as you ramp up in 2015?
Gregg Piontek: Yes. I think you touched on the challenges there of – there’s a number of moving pieces here. But I mean, if you take a step back and you look at it with a new production facility coming online in Q1 of next year as well as the efforts that we’re making towards growing the various markets really to feed the demand for that plant. We’re obviously needing to add up, add some resources and staffing to the organization in order to prepare for that. So you see kind of a modest ramp up of cost as we go through the year. But most – the biggest piece really comes online right – close to the proximity in the opening of the new site.
Paul Howes: 30 to 60 days before we start up manufacture, we’re going to have to have our crews online trained from the perspective processes et cetera. So we did expect that a little bit in the back half. But the other thing too that we’re adding is market development resources to continue to expand this business internationally. As you know, we bought the business in the UK in the fourth quarter. We see demand increasing there for our products in the UK. But I also believe that the main land [ph] is an interesting market for the mats too. Yes. And then the other thing too that we’re excited about too in the mats business, we are building a new technology R&D center as part of the manufacturing facility. And we’re going to be adding some new people in that organization.
Tristan Richardson – D.A. Davidson & Company: It’s great. That’s helpful. And then – I guess just one last one. I know that the prop in businesses [ph] is small and you came across it through your acquisition. But – I mean, given the high margins in that business, it does have an impact. I’m curious sort of how you view that business in the sort of overall fluids portfolio. I mean, would you consider it a small but a core piece of the business or, I mean, looking to grow it? I’m curious of your thoughts there.
Ken Dennard: Sure. If we were vertically integrated and manufactured the ceramic provence, I would agree that the margins are high. When we bought this business in line [ph] they were simply importing the provence from China. And so, the margins in that business, from an import perspective, are pretty cent [ph]. They’re not high margins.
Paul Howes: And further, I’m just going to emphasize that when we did the Alliance acquisition, we specifically had an earnout attributable to that provence business because it was really the core fluid business that was the real value that we’re after. And this case was a little lesser. So we really don’t see provence as a core business, however, we do think we have fluids and chemical expertise that in the future things like frac [ph] chemicals, production chemicals, et cetera, there may be some opportunities in those kind of spaces.
Operator: Thank you. Our next question is from the line of Marc Bianchi with Cowen and Company. Please go ahead.
Marc Bianchi – Cowen and Company: I was hoping you could address the US fluids outlook sequentially in a little bit more detail. It sounds like things are accelerating there and maybe you could just talk a little bit more about that.
Ken Dennard: Sure. As Bruce had mentioned in the earlier comments, so far, early in the quarter, we are seeing some modest improvements, call it single-digit type of percentage improvements over the level that we had in the first quarter. In addition, the one other item that should benefit in the second quarter is the deepwater work. As Bruce had mentioned, we had the expectation originally of having this well in the first quarter, the timing of the split from Q1 to Q2. And so, obviously, anytime we get a deepwater well, that’s a meaningful impact in the quarter.
Marc Bianchi – Cowen and Company: Does that push the percentage growth into the high-single digits once it kicks in for the quarter?
Ken Dennard: That’s in the reasonable range.
Paul Howes: It is possible.
Ken Dennard: Yeah.
Paul Howes: Depending on, again, when they spud and how much the pump and dump they do versus getting to the higher fluid margins. There’s a lot of pieces and parts to it.
Marc Bianchi – Cowen and Company: Okay. Okay. And then, just a follow up on the competitive commentary. You guys mentioned that there wasn’t any price weakness. On the legacy fluids, are you seeing any opportunities to move prices higher?
Bruce Smith: Whatever we can we do. We test the market regularly. So we’re very active in trying to do that at all times. And there are areas in which we can do that but the real way to do is through the differentiated technology.
Paul Howes: I think where you’d see the biggest opportunity on the oil-based muds [ph] and milk [ph] pricing is that we’ve got a larger increase in the number of rigs, some of the other smaller service companies that are out there aren’t able to support and then we’d be able to come in and move some pricing up. But that’s the US-driven situation. Internationally it’s different.
Marc Bianchi – Cowen and Company: Excellent. Thanks guys.
Operator: Our next question is from the line of Christopher Butler with Sidoti & Company. Please go ahead.
Christopher Butler – Sidoti & Company: Hi, good morning everyone.
Paul Howes: Good morning.
Christopher Butler – Sidoti & Company: Circling back to Brazil as we look to the second half of the year, I know one of your peers indicated that Brazil in general was going to be a country in transition this year. Could you speak to what you’re seeing out of your business there in Petrobras as far as the second half? Is that going to bounce back as you had expected last quarter?
Bruce Smith: The Petrobras situation is ever evolving, of course. And probably what our peers were alluding to is this is an election year in Brazil. So, everything kind of grinds [ph] into a halt in terms of decision making within Petrobras. And currently, the split between sort of active drilling and completion and work-overs about 60% on the completion side, 40% on the other side. And our revenues obviously are largely driven by the drilling side and not the completion side. So, I expect much of the same going through the year.
Christopher Butler – Sidoti & Company: And help me understand where Brazil will be as far as your business, say, 2015, as you manage your relationships there and try to grow some of your higher margin business. Is revenue higher in 2015 than it was in 2013? Is this still a growth opportunity over the next couple of years or is your management going to reduce your exposure?
Paul Howes: This is Paul. If you look at out to 2015, you asked about revenues increasing, certainly if we’re successful at Petrobras in reassigning that pass through south [ph] control contract, that will have a negative impact on revenues but it will help us on the margin line. The other thing that’s in transition in Brazil right now is the IOC work, right. We’ve got the Total contract, but there’s not a lot of IOC drilling today. It’s our expectation, as you look out to the second half of ‘15 and ‘16 that the OICs are going to be coming back in and drilling and have a larger campaign down there. So we think longer term, Brazil certain is an interesting market. It’s a market you have to be in. We like the deepwater side of it. It plays to our technologies and our service capabilities. But is it going to be as good as what people thought five years ago? I don’t think so. I think it’s going to be muted some. And really, you have to see how the government works with Petrobras and how that whole situation plays up.
Operator: Thank you. Our next question is from the line of Bill Dezellem with Tieton Capital Management. Please go ahead.
Bill Dezellem – Tieton Capital Management: Thank you. I had two questions. First of all, did you say how – what the evolution revenue number was in Q1 of ‘13 and if not would you please discuss the comparison versus Q1?
Paul Howes: Yeah, Q1 of ‘13 I believe was $29 million. So obviously 48, yeah, near $20 million increase over Q1 of last year.
Bill Dezellem – Tieton Capital Management: And I noticed there was the comparison that Bruce gave relative to Q4 of what caused the change. Could you do the same relative to Q1? And then my follow-on question is accrued liabilities were up about $20 million versus Q4. Could you discuss that?
Paul Howes: Sure. I’m a little bit unclear on the comparison that –
Bruce Smith: On evolution.
Paul Howes: Yeah. I guess, other than breaking it down, last year, I think maybe that’s what you’re looking at was the North America versus international. Last year the 29 million very small contribution in that period came internationally. I think we may have had a very small contribution in the EMEA regions but it was minimal. So that 29 is essentially all North America. As far as the accrued liabilities, that is the accrued taxes associated with the sale of the environmental service business that’s driving that. So we had a –
Ken Dennard: That’s the 20 million tax [indiscernible].
Paul Howes: I’ll flip from long-term defers to accrued payable.
Bill Dezellem – Tieton Capital Management: Thank you.
Operator: Thank you. Our next question is a follow up from the line of Mike Harrison. Please go ahead.
Mike Harrison – First Analysis Securities: I just wanted to ask a little bit around the mats business. You mentioned the cold weather test phase and needing to go back and retool the seals.
Bruce Smith: Right.
Mike Harrison – First Analysis Securities: I guess, I was just kind of wondering, do you feel like this system is going to be ready for primetime and understanding that deploying it during the summer and end of the fall is probably okay but do you feel like you’re comfortable that you’ll have it fixed in place and be able to roll this out so you can use these during next winter in deploying something that’s really liner list [ph] which is kind of a big step for customers to take.
Paul Howes: Yeah, Mike, we do have a lot of confidence that we’re going to launch the product. We may not launch it initially, a totally liner list [ph]. We may still have something – because you know around the cellar, that’s where you got most of the concerns. So we may have a thin liner around the cellar possibly. But we have five test sites running this winter and we think we’re doing a great job of collecting the data. Certainly, once we launch it formally, not unlike Evolution, it will be very controlled as we move it out and continue to collect information. But we will launch formally this year.
Mike Harrison – First Analysis Securities: And in terms of the way you’re going to be pricing that offering, again, is it kind of similar to Evolution where you’re going to have to be testing then experimenting a little bit in how much value the customer is realizing and how much of that you can capture for yourselves.
Paul Howes: Yeah, I mean, again, this comes back to value-added selling and understanding all the puts and the takes and the president of that business Jeff Juergens has been working with his sales organization on how they do that. They’ve been putting what they call their value calculator that are on iPads that they can go in and lay out – here’s your total cost that you’re incurring. If you go with our technology, let’s go through the calculation. And while they’re sitting there right in front of the drilling manager or the purchasing agent, they can see the value of the technology. So that’s the approach we’re going to take similar to Evolution.
Mike Harrison – First Analysis Securities: All right. Sounds good. Thanks very much.
Paul Howes: Thank you.
Operator: Ladies and gentlemen, that does conclude the question-and-answer session. I’d now like to turn the call back over to management for closing remarks.
Paul Howes: I would like to thank you once again for joining on this call and for your interest in Newpark Resources. And we look forward to talking to you again at the conclusion in the next quarter. Take care. Thank you.